Operator: Ladies and gentlemen, thank you for standing by, and welcome to the JOYY Inc.'s Fourth Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the management’s prepared remarks, there will be a question-and-answer session. I’d now like to hand the conference over to your host today, Jane Xie, the company’s Senior Manager of Investor Relations. Please go ahead, Jane.
Jane Xie: Thank you, operator. Hello everyone, welcome to JOYY’s Fourth Quarter 2024 earnings conference call. Joining us today are Ms. Ting Li, Chairperson and CEO of JOYY; and Mr. Alex Liu, the Vice President of Finance. For today's call, management will first provide a review of the quarter, and then we will conduct a Q&A session. The financial results and webcast of this conference call are available at ir.joyy.com. A replay of this call will also be available on our website in a few hours. Before we continue, I would like to remind you that we may make forward-looking statements, which are inherently subject to risks and uncertainties that may cause actual results to differ from our current expectations. For detailed discussions of the risks and uncertainties, please refer to our latest annual report on Form 20F and other documents filed with the SEC. We will also discuss certain non-GAAP financial measures. They are included as additional clarifying items to aid investors in further understanding the Company's performance and the impact that these items and events had on the financial results. The non-GAAP financial measures provided above should not be considered as a substitute for, or superior to, the measures of financial performance prepared in accordance with GAAP. You may find a reconciliation of differences between GAAP and non-GAAP financial measures in our earnings release. Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in USD. I will now turn the call over to our Chairperson and CEO, Ms. Ting Li. Please go ahead, Ms. Li.
Ting Li: Hello everyone, I'm Li Ting. Welcome to our fourth quarter 2024 earnings call. As we recently announced, on February 25, 2025, we successfully completed the sale of our livestreaming business for Mainland China, YY Live. I believe the full closing of this transaction marks the 2 beginning of a new chapter for JOYY's corporate development. As the first step, we are excited to announce that, effective from March 31, our Nasdaq ticker symbol will be changed from YY to JOYY. This aligns with our strategic vision and our globalization strategy entering into the new era. Over the past few years, JOYY's position as a global technology company has solidified thanks to our global growth strategy. We have focused our resources and attention on markets across the world, with an emphasis on Developed Countries that demonstrate higher monetization efficiency and ROI. This strategic approach has yielded strong results. In 2024, our global market revenue excluding Mainland China accounted for 89.6% of our total revenue. Notably, Developed Countries saw a year-over-year revenue increase of 24.6%, boosting their share of the group's revenue to 53.9%. Moving forward, we will continue to deepen our penetration in key markets to build on this success. Improved global infrastructure, a diversified product portfolio, and localized operations will build our brand influence and reinforce our status as a global technology company. As we drive our development, operational efficiency will remain a key focus. We will pursue a balance between growth and efficiency, driving high-quality topline growth while maintaining profitability and positive cash flow. AI remains a key component of our strategy. The rapid advancement of AI has brought both transformative changes and new opportunities. With our accumulated proprietary data and in-house algorithm team, we are well-positioned to capitalize on these new trends. AI will empower our business by enhancing product development, optimizing data analysis, and improving our customer service. These advancements will directly improve both our operational efficiency and our users’ experience, taking our global operations to new heights. As AI usage rapidly increases, we also recognize that people will seek more emotional, interpersonal connections. Providing users with meaningful connections that they can truly value will be essential to long-term success for social media platforms in the AI age. This notion will inform our long-term strategic direction. Empowered by AI, we can build more comprehensive user profiles, which will ultimately improve content recommendation and matching among our users. We will continue to drive product optimization and operational innovation, leveraging AI in combination with the personal touch of talented creators on our platform to provide users with emotionally resonant connections and interactive experiences. As we begin this important new chapter, we also want to reaffirm that as one of the leading global technology company in the industry, JOYY will hold itself to higher standards of responsibility towards our users and community. As the guardian of a global community of 263.1 million users, we remain committed to strictly adhere to all regulatory requirements while integrating social responsibility and sustainability into our global operations. We will continue to update our community guidelines and enhance our technological capabilities to create a safe platform for our users, while actively collaborating with industry partners to promote industry standards that support sustainable, responsible growth. Now, let's review our overall performance for the fourth quarter and the full year. In the fourth quarter, our group revenue reached $549.4 million, achieving a non-GAAP net profit of $96.1 million, up 57.1% quarter-over-quarter. Our core business segment BIGO achieved revenues of $480 million. BIGO's non-GAAP operating profit reached $81 million, up 11.2% quarter-over-quarter. For the full year 2024, our group revenue was $2.24 billion; the BIGO segment achieved revenues of $1.99 billion, a year-over-year increase of 3.3%. Thanks to strong operational execution throughout 2024, we made progress across multiple core objectives. We consistently enhanced our localized operations worldwide, delivering steady growth in group profitability. For the full year 2024, the group achieved a non-GAAP operating profit of $136 million, a year-over-year increase of 4.2%, and a non-GAAP net profit of $298.5 million, a year-over-year increase of 2.0%. The BIGO segment's full-year operating profit reached $286.3 million, exceeding our previous expectations; BIGO's non-GAAP net profit reached $314.6 million, a year-over-year increase of 4.2%. This profit growth was achieved despite significant adjustments to our audio livestreaming products in non-core markets in 2024, which had a dozen-million negative impact on our bottom line. The upward trend in our operating profit in spite of these adjustments indicates that our core business profitability has improved substantially. Meanwhile, the group's non-livestreaming revenue maintained high growth throughout the year. This primarily includes BIGO's advertising and the All-Other segment's SaaS revenues. For the full year 2024, the group's non-livestreaming revenue increased 55.9% year-over-year to $449.8 million, accounting for 20.1% of total group revenue, an increase of 7.4 percentage points compared to 2023. In 2025, we expect that the group's non-livestreaming revenue will maintain double-digit growth, with its proportion of group revenue increasing in tandem. We expect this will provide momentum for the recovery of our revenue growth at the group level. Meanwhile, we expect the economics of our non-livestreaming business to be meaningfully improved given enhanced monetization and disciplined spending in 2025. As we set the stage for ongoing growth, shareholder returns remain a high priority for management. In 2024, we repurchased 9.21 million ADSs for a total of $309.2 million, representing 15.1% of our total outstanding shares as of the end of last year. As of December 31, 2024, our net cash position stood at $3.3 billion. We believe the current market valuation significantly undervalues our company, especially when considering our profitable livestreaming business and rapidly growing non-livestreaming business. We are happy to announce that our board has approved a quarterly cash dividend program for the following 3 years. The aggregate amount of the cash dividend is expected to be about $600 million, consisting of about $200 million per year. Additionally, our board has approved an additional share repurchase program, under which we may repurchase up to US$300 million of our shares until December 2027. This program replaces our previous share repurchase program which would expire in November this year. We remain firmly committed to unlocking shareholder value through our consistent capital return initiatives. Next, let me share more specific progress across our product lines. Let’s begin with Bigo Live. In line with our goal of providing meaningful, personal experiences to our users, we continued to focus on cultivating a safe, high-quality, and diverse content ecosystem on Bigo Live. In the fourth quarter, we updated Bigo Live's community guidelines and comprehensively enhanced its community safety technological capabilities. We introduced our exclusive multimodal content moderation model, which was fine-tuned with our scenario-specific data, and leveraged third-party large models, to further strengthen our content moderation capabilities. On the product feature front, we refined user verification processes and stratification mechanisms to direct traffic towards high quality, verified user content. At the same time, we exercised stricter management of user-generated content to ensure our users would have safe, high-quality experiences. In addition, we formed partnerships with multiple industry players and worked with relevant authorities to jointly prevent and punish any potential malicious use of the platform. We remain committed to constantly improving our safety features to ensure secure experience for our users. On the content front, Bigo Live continued to deliver the level of quality users have come to expect. The annual BIGO Awards Gala was held at Marina Bay Sands Theatre in Singapore. Over 1,000 guests from around the world attended in person, and nearly 500,000 viewers tuned in via livestream. The event honored over 200 outstanding content creators and Families for their contributions to Bigo Live’s vibrant user community, and featured performances from 35 global artists across various genres. The BIGO Awards Gala has become a core tradition for the platform, and has helped countless talented creators expand their influence and reach the global stage. In addition to the main global venue, Bigo Live also held regional galas in Dubai, Thailand, and elsewhere. In 2025, Bigo Live will expand its community initiatives through creator partnerships focused on diversity, philanthropy, education, and more. We remain dedicated to building value for the platform’s creator base and helping our global creators grow. During the quarter, we utilized our proprietary AI model to analyze ultra-long user behavior sequences, and refined our content recommendation on Bigo Live. This improvement, together with our continuous effort to expand Bigo Live’s high-quality content offering and optimize its livestreaming room viewing features, drove a 2.1% sequential increase in average viewing time per user during the fourth quarter. By strategically directing traffic to mid-tier hosts and optimizing livestreaming tools such as beauty and body filters, Bigo Live achieved a 1.2% increase in host next-day retention and a 2.9% increase in average livestream time per host, both quarter-over-quarter. Next, let's look at Likee. Likee remains focused on two core markets: the Middle East and Europe. In the fourth quarter, Likee's DAUs in core European countries increased by 4.4% quarter-over-quarter. Driven by growth in paying users, Likee's livestreaming revenue grew 2.2% sequentially. In 2024, Likee recorded its second consecutive profitable year. We continued to elevate Likee’s content and community engagement in its core markets. In January, Likee partnered with the globally popular game Genshin Impact to deepen its penetration among Gen Z users. The campaign featured Genshin-themed short video and livestream contests with special prizes, and a co-branded offline event in Europe. During the campaign, the initiative generated over 5.7 million views, and the offline themed event attracted 11,000 participants, even prompting several popular creators with millions of followers to join Likee. Beyond these targeted operational activities, Likee increased support for quality creators, driving a 13% quarter-over-quarter increase in viewer time spent on short videos. The proportion of content creators as a percentage of daily active users grew steadily compared to the third quarter, indicating healthy levels of engagement. Last quarter, we mentioned that we have redirected some of Likee’s operational resources, including personnel and traffic, to a new product, to unlock our monetization potential in Likee’s core markets. We are pleased to report that the new product has launched smoothly and is currently generating smallscale revenue. We look forward to building the scale of this new product over the next few quarters, at which time we will share more updates. Finally, on Hago. In the fourth quarter, driven by its blockbuster year-end operational event, Hago's quarterly livestreaming revenue achieved quarter-over-quarter growth. In the fourth quarter, Hago's cash flow remained positive, achieving its goal of positive cash flow for the second consecutive year. Hago's user engagement further improved during the fourth quarter as well. Average time spent in channels increased by 8.6% quarter-over-quarter to 108.2 minutes. The product's next-day retention rate also continued to improve. In 2024, we made substantial progress in improving operational efficiency and diversifying our revenue streams. Looking ahead, we remain deeply committed to driving diversified growth across our global operations and solidifying our position as a leading global technology company. Through AI-driven innovation, we are comprehensively enhancing our operational efficiency and cultivating meaningful experiences for our users. We will continue to prioritize platform safety and integrate social responsibility into our global operations. Based on our solid operational execution, we remain confident in driving sustainable growth in our global business and creating long-term value for our shareholders.
Jane Xie: Thank you. We will now turn the call over to Mr. Alex Liu, the Vice President of Finance, to provide our financial updates.
Alex Liu: Thanks, Ms. Li. Hello, everyone. I will now provide a recap of some key financial highlights for the fourth quarter. Our total net revenues were $549.4 million in the Fourth Quarter, compared with $569.8 million in the same period last year. Revenues from BIGO segment were $480 million. In particular, group’s non-livestreaming revenues were $127.0 million, up by 51.9% year-over-year, primarily due to the increase of BIGO’s advertising revenues. Geographically speaking, as we prioritized to allocate our operational resources towards Developed Countries and the acquisition of premium users with greater monetization potential, our group revenues from Developed countries and regions was up by 13.7% year-over-year, while revenues from Middle East sustained a sequential growth of 0.7%. Cost of revenues for the quarter decreased by 6.2% year-over-year to $345.7 million. BIGO’s cost of revenues were $304.9 million, which was down by 1.3% year-over-year, driven by a $5.5 million decrease in payment handling costs. All other’s cost of revenues were $40.8 million, down by 31.4% year-over-year, consistent with its revenue trend. Gross profit was $203.8 million in the quarter, with a gross margin of 37.1%. BIGO’s gross profit was $175.0 million, with a gross margin of 36.5%. BIGO’s gross margin was lower year-over-year and quarter-over-quarter due to a shift in our revenue mix, which saw an increased contribution from our lower-margin Audience Network advertising revenues. Our group’s operating expenses for the quarter were $633.5 million, compared with $199.4 million in the same period of 2023. Among the operating expenses, we recorded non-cash goodwill impairment charges of $454.9 million. The impairment was primarily attributable to goodwill associated with our prior acquisitions, mainly driven by lower valuations amid current market conditions. Sales and marketing expenses decreased to $67 million from $92.3 million in the same period of 2023, primarily due to our reduced spending on user acquisition through advertising. General and administrative expenses increased to $44 million from $34.6 million in the same period of 2023, primarily due to increases in expected credit loss of receivables. BIGO’s total operating expenses for the quarter were $105.7 million, decreased from $131.3 million in the same period of 2023, primarily due to decreased in sales and marketing expenses. Our disciplined execution has driven enhanced operational efficiency at both the group and BIGO segment. Our group’s non-GAAP operating income for the quarter was $46.4 million in this quarter, up by 66.2% from $27.9 million year-over-year. BIGO’s non-GAAP operating income was $81 million, up by 21.0% from $67 million year-over-year. Non-GAAP net income attributable to controlling interest of JOYY in the quarter was $96.1 million, up by 49.7% from $64.2 million in the same period of 2023. The Group’s non-GAAP net income margin was 17.5% in the quarter, compared to 11.3% in the same period of 2023. BIGO’s non-GAAP net income was $98.4 million, up by 55% from $63.5 million in the same period of 2023. BIGO’s non-GAAP net margin was 20.5% in the quarter, compared with 12.9% in the same period last year. For the Fourth Quarter of 2024, we booked net cash inflows from operating activities of $110.5 million. Our balance sheet remains healthy with a strong net cash position of $3.3 billion as of Dec 31 of 2024. Now I would like to briefly walk through the full year financial highlights. Our total net revenues for the full year were $2,237.8 million, compared to $2,267.9 million in 2023. BIGO’s revenues for the full year were $1,988.3 million, up from $1,924.3 million in 2023. Our non-GAAP net income attributable to controlling interest and common shareholders of JOYY for the full year of 2024 was $298.5 million, up by 2% from $292.5 million in 2023. Non-GAAP net income margin for the full year of 2024 was 13.3%, up from 12.9% in 2023. Notably, BIGO’s non-GAAP net income expanded to $314.6 million in 2024, up by 4.2% from $302 million in 2023, with its non-GAAP net income margin slightly improved to 15.8%. Importantly, shareholder return continued to be an important component of our capital allocation strategy. In the full year of 2024, we have returned an aggregate amount of $309.2 million to our shareholders through share buybacks, which altogether represent 103.6% of our non-GAAP net income. We remain confident in our company’s long-term growth prospects and believe that our share price has been trading substantially below its intrinsic value. Accordingly, our board of directors approved a quarterly dividend policy for the next 3 years commencing immediately. Under such policy, the total cash dividend amount expected to be paid will be approximately $600 million and quarterly dividend will be set at a fixed amount of approximately $50 million, it is $0.93 per ADS, in each fiscal quarter. Additionally, our board has approved an additional share repurchase program, under which we may repurchase up to $300 million of our shares until December 2027. This program replaces our previous share repurchase program which would expire in November this year. Going forward, we remain firmly committed to unlocking shareholder value through our capital return initiatives. Turning now to our business outlook. At group level, we expect our net revenues for the first quarter of 2025 to be between $482 million and $490 million. Our guidance accounts for certain seasonality fluctuations and reflects our preliminary views on the current market, operational conditions and business adjustment decisions, which are subject to changes. In closing, with the deal behind us, we are ready to turn to a new chapter for JOYY. Looking forward, we will remain dedicated to our strategic priorities, building our influence as a global technology company, exploring diverse growth and actively driving operational efficiency at all levels. We are well-positioned to deliver sustainable, profitable growth and create long-term value for our shareholders. That concludes our prepared remarks. Operator, we would now like to open up the call to questions.
Operator: Thank you. [Operator Instructions] Your first question comes from Thomas Chong with Jefferies. Please go ahead.
Thomas Chong: Let me translate myself. My question is about the user and the revenue trends in 2025. Thanks.
Ting Li: Thank you for your question. This is Li Ting. I will take your question. First of all, I’d like to add a few more color regarding our performance in Q4. In Q4, the group’s non-live streaming revenues continued to grow substantially both year-over-year and quarter-over-quarter, while our live streaming revenue experienced a decline. The reason behind the decline was primarily due to two factors. First, we mentioned this in our last quarter as well that we made certain adjustments to interactive features of BIGO’s non-core audio live streaming product in late Q3 to enhance compliance. And Q4 is the first full quarter reflecting those adjustments. And secondly, Bigo Live experienced an unexpected temporary removal from platforms in Q4, and that has caused additional short-term fluctuation in its live streaming revenue. However, despite the disruption of that temporary event, our annual gala, which we believe has delivered stronger than expected results, and that is why we’re still able to deliver revenue within our previously given guidance. I think that it reflects the stickiness of our core paying user group and also the resilience of our global business. Looking ahead to the first quarter of 2025, we do expect a stronger than usual negative seasonality impact due to the coinciding Lunar New Year and Ramadan. With Bigo Live fully back on both platforms in January, we also expect Bigo Live to take certain time to resume its normal pace of user acquisition and operational events during the quarter. And therefore, there will be a lagging impact on its monetization, which we do not believe is going to affect the long-term sustainable growth of that product. And our current revenue guidance has considered the potential impact from the above-mentioned factors. In 2024, we know that we have implemented a number of adjustments to our operations, including our optimization over content cost, optimization of user acquisition strategies as well as the mentioned adjustment to non-core audio live streaming. And the unexpected temporary incident drove us to accelerate the update of our previously planned global community guidelines and safety capabilities, enabling us to align and upgrade our community guideline and safety requirements across different global regions ahead of our schedule. We believe that this altogether has provided our business with a more efficient and healthier foundation to start for the year 2025. Looking ahead for the full year of 2025, for BIGO segment, we will continue to concentrate our operational resources on developed countries and premium users with greater monetization potential. We expect the paying users and our pool of BIGO will gradually return to sequential growth in Q2. And additionally, we anticipate that the non-live streaming revenue will continue to maintain a strong growth momentum, likely double-digit year over year. However, our adjustment to the non-core audio live streaming product might still exert just negative impact on BIGO’s overall top line growth, especially when compared with the high base during the first three quarters of 2024. For all other segments, we expect its non-live streaming revenue continue to grow by double digits and drive the top line recovery of the whole segment. Regarding our MAU outlook, when Bigo Live experienced some fluctuation for its MAU over the past several quarters, the year-over-year decline was primarily due to our recurrent strategy of optimizing our advertising spend and operational resources towards developed countries and premium users. And sequentially speaking, the Q2 decline was primarily due to the short-term disruption of new user acquisition during the temporary suspension period. However, we expect that with the optimization of Bigo Live’s user base gradually takes effect, its MAU will likely return to sequential growth in the second half of the year. Next question please.
Operator: Thank you. Your next question comes from Yiwen Zhang with China Renaissance. Please go ahead.
Yiwen Zhang: Thanks for taking my question. So my question is about our outlook on 2025 experience and our profitability change. Thank you.
Alex Liu: Thank you for question. This is Alex. In the fourth quarter, our disciplined execution has driven operational efficiency enhancement at both the Group and the BIGO segment. Looking specifically at the BIGO segment in Q4, the non-GAAP gross margin was 36.5%, which was down 1Q due to shifts in our revenue mix, which saw increased contribution from our lower margin audience network advertising revenue. The BIGO’s operating margin increased to 16.9%, which is up 2.2 percentage points as compared to the last quarter and its non-GAAP operating profit amount increased by 11.2% on quarter-over-quarter. And the improvement was primarily due to decrease in our sales and marketing expenses, particularly our user acquisition spending during the temporary suspension period. And excluding that impact, BIGO’s non-GAAP OP was still up to OQ, which is better than our original expectation. Looking at the all-other segment, its non-GAAP gross margin also saw substantial improvement during the quarter, rising from 40% in Q3 to 41.8% in Q4, which is up by 1.8 percentage points, and that was mainly benefiting from a quarter-over-quarter acceleration in its monetization. The non-GAAP operating loss for the all-other segment was narrowed by 8.9% compared to the previous quarter to $34.6 million, and that was mainly due to effective control over our operating expenses and that a steady decline in R&D expenses, both in terms of absolute amount and also as a percentage of revenue. Looking ahead to the first quarter of 2025, for BIGO segment, due to the impact of seasonality, we expect a decline in its non-GAAP operating profit when compared to Q4. For all-other segments, we expect its non-GAAP operating loss to further narrow on a sequential basis during the quarter. For the full year of 2025, we’ll continue to execute our ROI oriented strategies, persistently optimizing our cost and operational expenses within the segment. Nonetheless, adjustments made to the non-core audio live streaming product in this segment may still have a negative impact on its profit. And the one-off user acquisition expense savings during the temporary suspension period in Q4 has made BIGO’s non-GAAP OP for the full year of 2024 quite a high base. Considering those factors, we expect the overall non-GAAP OP in terms of absolute amount for the BIGO segment to remain roughly stable with certain potential for growth for the full year of 2025. In terms of all other segments, we expect with improving monetization and disciplined spending, our R&D expenses as a percentage of revenue will continue to decline and we foresee a meaningful reduction in its non-GAAP operating loss in 2025 compared to the last year. Overall speaking, at group level, we expect the group’s non-GAAP operating profit will continue to show an improving trend in the year 2025. Next question please.
Operator: Thank you. Your next question comes from Brian Gong with Citi. Please go ahead.
Brian Gong: Thank you, management, for taking my question. A very quick question on shareholder return plan. We just announced the new plan including dividends and the share repurchase program. Can management elaborate a little bit more on our rationale to handle this new shareholder return plan? Thank you.
Alex Liu: Thank you, Brian, for your question. This is Alex. In the year 2024, we continue to be very active in shareholder return. During the year, we bought back a total number of 9.21 million ADS for a total of $309 million, accounting for an impressive 15.1% of our total shares outstanding as of the end of last year. Between 2020 and 2024, we have in total return $1.684 billion to our shareholders. This is a very sizable amount, especially when compared to our current market cap. Looking ahead, we will continue to consider shareholder returns as an important component of our capital allocation. And the Board of Directors has just approved an additional $600 million dividend policy and a $300 million buyback program for the following three years, totaling $900 million and that represents approximately 35% of our current market cap, which we believe represents a relatively competitive level within the industry. Through our well communicated, consistent, quantified and sustainable shareholder commitment, we would like to demonstrate our determination in persistent sustainable shareholder returns and our confidence in the long-term prospects of the company. On top of that, we also, from time to time, consider other shareholder options subject to ongoing operational updates and also market conditions. In the long term, we need both growth in the company’s core business and also just a stable shareholder return in order to create a sustainable value for our shareholders. We remain confident in our ability to continuously drive ongoing diversified growth, especially profit growth in our global operations, while maintaining a competitive and sustainable shareholder return. Thank you. Maybe one last question please.
Operator: Thank you. Your next question comes from Raphael Chen with BOCI Research. Please go ahead.
Raphael Chen: Thank you for taking my question. Could management elaborate more on the strategic priority and positioning for new initiatives? For example, our advertising business in the future.
Ting Li: Thank you. This is Ting Li. In the fourth quarter, BIGO’s advertising revenue maintained robust growth, which significantly increased its contribution to the segment’s total revenue, now reaching 16.6%. Specifically, revenues from our advertising platform, Bigo Audience Network, continue to show a strong momentum, primarily driven by North America and European markets. Looking ahead to 2025, we expect Bigo Audience Network to continue its strong growth momentum, double digit year-over-year, driven by a number of factors, including expansion of its network’s DAU pool, expansion of advertiser base and exploring into new verticals. We also expect its operating profit and OP margin trend to improve during the year as compared to 2024. With regards to our cash usage for our new initiatives, we have said we’d like to clarify that we have set a consistent goal for each business unit, which is to enhance monetization efficiency, continuously optimizing their cost structure and aiming positive cash flow and breakeven as soon as possible. We expect that both the Bigo Audience Network and our SaaS business under all other segments to show significant improvement in their operating cash flows in 2025.
Operator: So that was the last question. And thank you so much for joining our call [Operator Closing Remarks]